Stephan Gick: Good morning, ladies and gentlemen, and welcome to BELIMO's 2025 Results Presentation. My name is Stephan Gick, Head of Investor Relations, and I have here with me Lars van der Haegen, CEO; and Markus Schürch, CFO of BELIMO. We are also pleased to have today online with us, Sarah Bencic, our new Head of Americas. Lars will start the presentation with a business and market review, then Markus will highlight the financials followed by Sarah introducing herself and BELIMO Americas. We will conclude the presentation with the outlook and take questions at the end. With that, I would like to open our presentation and hand over to Lars. The floor is yours.
Lars van der Haegen: Thank you, Stephan. So good morning, everybody here at the Hotel Widder. And of course, also everybody who is here remotely. We look forward to the program today, and we conclude here then also with Q&As for everybody, also, of course, those remotely and then a reception with a light lunch, upper wish, as we call it, for those who are here, and I look forward to meeting you and talking to you this morning. Gick mentioned, we have Sarah Bencic online. Today is actually a snowstorm in the U.S. Our factory is closed today. Flights have been canceled to the U.S. those that left today from Switzerland, and -- but we still have a connection, so -- but it might be a weak connection, but yes, we will keep our fingers crossed Sarah's speech later on. 2025 was a great year for BELIMO. I start here also with a follow of our employees. We have celebrated a lot last year, 50 years, BELIMO, and that was also the reason why we thought we have to make it a strong year with great financial results because it wouldn't be fun to celebrate without good numbers. But what's really behind this result is our more than 2,700 colleagues who are working highly engaged following a purpose and a proven business model. And that's really very nice, gives me the motivation every day to -- on BELIMO and to see this company working, and it's just amazing, and therefore, we would like to dive into the details -- the summary of what happened last year in terms of financials. Our growth rate in local currencies was 23%. EBIT grew by 29% and the return on capital employed was 36%. We are proposing a dividend of CHF 10 per share. And the outlook, we expect mid-teens percentage sales growth in local currencies this year. Markus will later on deep dive a bit into this outlook. Some of the other elements will cover throughout our presentation. First, the market dynamics. Of course, a very dynamic year in terms of the data center business, obviously, we have now sales -- had sales of 17% of our total sales in the data center business. We grew slightly less than half of the growth in 2025 that the data center business was representing. From a technical standpoint, there was also more and more, of course, liquid cooling employed, but also liquid cooling at higher temperatures as it is written here, that means temperatures around 40 degrees C for a supply temperature to cool servers. That means that there is less mechanical cooling involved. So there is a so-called free cooling and mechanical cooling combined. And this is actually quite advantageous for the applications BELIMO covers because it requires more valves to handle these systems. Then the overall construction market, the nonresidential construction market was actually slightly down, minus 1% on average globally. But we've seen an uptick in retrofit opportunities, and we'll cover this later on with 2 examples. And then lastly, the overall economic environment of 2025. We had the geopolitical situation, fueled, of course, also by these tariff ideas and concepts and the negotiations now again in discussion over the weekend. And we, of course, don't know what's going to happen over the next months and years, but we know it probably will make -- keep us busy for the next 3 years talking about tariffs, managing tariffs and implementing tariffs, and Markus will actually deep dive a bit into that topic what did it mean for 2025 regarding tariffs at BELIMO. The dynamics and the markets are, of course, related to our strategy -- to our growth strategy. And we are, of course, focused long term. We have a long-term planning, a 10-year horizon on our growth strategy with our 6 initiatives. And our 6 initiatives there actually in our annual report. And remember, always -- Warren Buffet always when asked, why are you so successful. He says, well, we are reading the annual reports. And you don't have to read all our annual report. They are getting so long. But I recommend you to read Page 17. And we talk about our growth strategy there and explain the status of each of the 6 initiatives. We touched upon some of these initiatives on the data centers, in particular, I want to mention what we did last year, we actually increased our organization for data centers. We have a dedicated sales, business development organization with application consultants with product managers fully focused on data centers. We've expanded that. We built a data center application center in Singapore. And we have also designed an application center for our Danbury, Connecticut location that we are building right now, that will be inaugurated in fall. Then we have started last year, in particular, with product developments, particularly for data centers, both on the material side of valves, for instance, more that valve range is completely available in stainless steel, but also in terms of the intelligent component, the sensors and the actuation and metering, the BELIMO energy valve with special implementation of industrial automation protocols to interface and special functionality there from a software standpoint. Now our 6 growth initiatives. They are built on 3 megatrends. Always crucial that the company's success depends mainly on the underlying trends. We have 3 key trends. One is urbanization that is still -- and I checked the number again 70 million people every year we are adding to this world. So 70 million every year, we have more. And the 70 million people, 80% of them, they love to live in cities. So they are clustering in cities. And in the cities, we see that trend also that second-tier cities are developing, of course, in Asia, but also, for instance, in the U.S., cities like Austin, Nashville or Denver are growing. And you have more densities in cities, you build higher, and this requires more HVAC building automation to manage these buildings. Then climate change. That still is the single biggest challenge for us humans in the world. Every problem we have in the world gets worse, with climate change and if we do not mitigate this. And the best way to reduce CO2 is energy efficiency. Energy efficiency is the biggest fuel we have and the best way to reduce CO2. Energy efficiency measures in buildings with BELIMO components, they have 3 main advantages: Firstly, they pay for themselves. Have an example afterwards. They increase the quality of life in terms of indoor air quality, safety, and they make the building owner energy independent. So this is really very powerful, and therefore, a major trend that we are directly supporting with our business model. Then data centers. On the data centers, obviously, we have the data center trend this market segment. We have some related trends. Sarah will present afterwards, the 30 segments of the buildings, how we segment these vertical markets. Their related segments such as energy storage or semiconductors who are also benefiting from the digitalization trend and the electrification trend. And then regarding our product range. So as we integrate in building automation system, we see more decentralized application, decentralized intelligence, edge devices and so on. So it's absolutely basically playing into the BELIMO product range, the digitalization in building automation and industrial automation. And therefore, very crucial for BELIMO our platform of components, and we have launched in November, the first products built on the new digital generation. Maybe you've seen this launch video. That was -- it's a 20-minute launch video. I can recommend it on our website. And the new digital generation platform is a new platform. We have introduced the first platform in 2005, so 20 years ago. At the time, we were integrating damper actuators and Control Valves in a platform and have launched this platform and have been very successful with this. Five years ago, we invested into a new platform that, in addition to Damper Actuators, Control Valves, integrated Sensors and Meters in 1 platform and we brought the modularization level 1 degree further. So we have basically a Lego-type system here, where we have as few components as possible in the platform, and it makes us very flexible. For instance, when we integrate into a automation system, as indicated here on this depiction, we can change 1 component. Today, we have about 10 different interfaces into building automation systems. For instance, the most common used in building technologies BACnet. There is a BACnet based on a physical layer RS-485 on an IP layer and then there's BACnet Secure Connect, special cybersecurity requirements that's also on an IP level. There are 3 different interfaces. They need 3 different kind of hardware modules. And we have with this platform the opportunity to just develop 1 of these modules and put it across the whole range and put it on 20,000 components. So otherwise, if you do not have a platform, you have to make a discrete development for every component with a new PCB, a printed circuit board, and this is where it's not scalable. So this platform really makes us unique. There's no player in the market that has a platform in this area of application where we play. Furthermore, of course, the handling of our products there. It's very consistent in terms of the design. Also, the industrial design, that's important too, as we sell a lot to OEMs or original equipment manufacturers. They put our components on, for instance, an air handling unit, and we have 10 BELIMO products or an air handling unit if the industrial design looks consistent, the overall product looks better. But also, it's the same handling, how you install it, how you configure it, for instance, here with the BELIMO app, there's 1 app. There's the assistant link that's indicated here that allows Bluetooth collection. There's also NFC that's available directly on the component. So you just have a very consistent range for commissioning and, of course, for integrating. So this platform is crucial in order to, of course, supply the world with BELIMO components. We also have to invest in our capacity. So therefore, we are on track with our capacity expansion. We do follow an asset-light model. If you analyze the numbers correctly, you see that our sales per employee per FTE is CHF 445,000 per employee. Our depreciation as a percentage of sales is 2.8% so that shows the asset-light model. Also the trend is positive. So in the past, we were around over 4% of depreciation. And over the years, this came down to now under 3% and also the sales per employee increased over the years. So the trend towards this asset-light model also is positive, but we still need some buildings. So 1 that is -- in Hinwil, just to focus really on our footprint. We have now several warehouses -- external warehouses that we consolidate with the new building, we call it Nexus and that's being inaugurated end of August. And you are actually invited on September 1 for a Financial Analyst Day in Hinwil where you can visit us and we show you the new building, along with other interesting things about BELIMO. Then we inaugurated also BELIMO China, CESIM House LEED Platinum building. This I was already talking about a year ago because we inaugurated in January '25. And then we have some projects in the U.S. that Sarah will talk about. Now having a look at our growth strategy over the years. We have a growth strategy -- long-term growth target. It's always nice to look back and review that growth strategy, how did we do. And obviously, the numbers now are -- have been quite positive, but I would also look back if the numbers wouldn't be that good. We've implemented the first growth strategy in 2016 and had an average CAGR of 8.8% over the 5 years period. And then over the last 5 years, it was a 13.8% CAGR. Over the last 20 years, 10.3% CAGR in growth. So this growth strategy is working. And we actually put in the plan 2016 with the growth strategy that we would make CHF 1 billion in sales in '25, and we made it. So we are quite happy ourselves that we made this number. And we have, of course, also in our growth strategy really focusing on the growth rate long term of 9% to 11%, as communicated previously, an organic growth rate between 9% and 11%. That's the long-term growth rate, obviously, now fueled short term by some of this data center growth, but that's our long-term plan. Then important regarding the profitability, the EBIT our EBIT number. I think this chart is always good to look at because many of you are always asking and maybe later on, what will be your EBIT in 2026, and we don't know. Because you see the EBIT is going up and down that fluctuates over the year, what we see. It improved over the last 20 years from 14% to 20.8%. So that's an average of about 35 basis points. We believe that over the next years to come, we continue to improve in that range of this 30, 35 basis points over the next 5 years in midterm, long term. But of course, every year, these changes, and we have the fluctuation as, of course, indicated from the past. And I think that's a good indicator to look at also what are these fluctuations that we have on that EBIT level. Now also, I would like to point out that our growth strategy works all over the world. So looking at the top 50 countries we are selling in, it really works in more than 80% of the countries we have, the strategies work in terms for, in terms, for instance, with sensor growth, with energy valve growth and so on. The various topics that we have in our strategy work in each of these countries. And so we have really statistical evidence that it works then all over the world, and that's very powerful. Looking at the 3 markets. Markus will, afterwards, deep dive a bit into the numbers. I want to highlight some of the typical projects that we have. So our business is really widespread amongst many buildings. We still have an order size of about CHF 2,000 per order, very small. There's a lot of orders that we are processing every day, and they go into buildings, small buildings, big buildings. And here, 1 example here in EMEA, that's the Hoffmann Group in Munich. That's a new building with about 1,000 products in there. As an example, then the Embarcadero Center in San Francisco. That is a very nice case study that we actually have. There's also a link on this slide brings you to this case study on our website. There's a video. This is a 48-story Waterfront building in San Francisco, 40 years old, and it's owned by BCX. That's the formerly called the Boston properties. That's the largest listed real estate developer in the commercial building space in the U.S., and it's a great success story. They have retrofitted 6 air handling units in these buildings, large air handling units with 6 energy valves. And they are saving $130,000 per year in electricity costs that they use for -- mainly for chillers, for chilling the building, for cooling the building and so you see the investment is about -- the payback is around 6 months. The investment was around $60,000, so the $130,000 saving per year. So it's really 6 months payback. Unbelievable, great case study again. And I recommend you to watch this video that explains in detail how that works. Another project from Asia Pacific in Vietnam, Ho Chi Minh City, the second large international airport there that's being built Phase 1. There are 15,000 BELIMO field devices in that phase that we have been selling and are selling in this construction project. So that also gives you a bit an impression of an airport. There's a lot of HVAC in there and many of these BELIMO components. Here, also fully equipped from Damper Actuators, Valves, but also Sensors and Meters in this Vietnam airport. So if you have a land in Vietnam on the new airport, then think about BELIMO that makes your landing possible. Now I would like to also talk about our Building Tomorrow vision. Last year, in 2025, when we had our celebration activities, part of that was also looking into the future to '25. What will be the trends in our industry? And we conducted workshops all over the world with our customers, with industry experts to define these building trends. And these trends are in this study. We have actually them here outside. You can take a book or you can download it, of course, on the Internet. And it basically talks about technology, society, economy and the environment. And it has 3 trends for each, and then it also shows the implications for the industry. So it's very valuable, I think, in reading this as well. So if you read our Page 17 on the annual report and read this, then you really know where the journey goes for BELIMO. You know more about the business model, and you learn a lot. So I recommend you also to read that Building Tomorrow study. Then let's come to some changes on our Board of Directors. We have, first of all, our Martin Zwyssig, who is actually here today. He will be leaving aboard, unfortunately, after 15 years of service. So he is, as you know, an outstanding CFO and has contributed to BELIMO's growth from the Board level. So thank you, Martin. And we have last year, the AGM has elected his successor with Tom Hallam, the former CFO of Shimadzu. Then we have also another member of the Board who does not stand for reelection, that's Stefan Ranstrand, former CEO of TOMRA. He was also contributing over the last 6 years a lot in -- regarding actually our growth ambitions and was pushing us regarding our strategy in terms of growth and also very -- I thank him for his contributions here too from the Board level. Then we'll have a new member that we propose at the AGM. That's Karina Rigby. Karina has a strong background in engineering, strong knowledge in data centers and she is American. So a strong knowledge about the American market with our largest market and brings that experience, that diversity to the Board. She has been working with Eaton and with Siemens Energy for many years and has a great knowledge also on management and leadership experience. Also, with Karina. We will be 3 women on our Board of Directors. And of course, with Sarah Bencic, will be 3 women also in our executive committee. So we then have 6 women on our top leadership Board and Executive Committee, which is also great. And I remember 10 years ago, there were CEO on the Board and CFO on the Executive Committee, quite happy about that as well. Now let me conclude. Again, coming back to our employees, our colleagues, we've been working also a lot on over the last 18 months on our culture and our values, and we have created habits for each of the value, and we have conducted workshops actually 3-hour workshops 4 times, 3 hours discussion workshops with all our employees because it's very crucial this culture. So in our performance management process, for instance, every employee selects 1 habit and has a plan on what can he or she do with this habit to improve something, to leverage something, to take an opportunity and really work on one of these habits to improve our culture every day. Also great confirmation was this Best Employers Award from the Financial Times, Europe. There were 1,000 companies assessed. We were ranking #7, second in Switzerland, which is a great external confirmation that this cultural work works. So all we can say, good business model, good culture makes a successful company. With this, I conclude for now and would like now to -- I talked about airflows and water flows, and now we have the man who will be talking about the money flow. So I give the floor to our CFO, Markus Schürch.
Markus Schürch: Thanks a lot, Lars. And also from my side, a warm welcome. It's a great honor and pleasure to be able here to present the financial results of BELIMO of last year. Lars already mentioned, 2025 was a very successful year for BELIMO. We have executed on our growth strategy and achieved a sales growth of 23.3% in local currency or 18.7% in Swiss francs, further accelerating our growth across all regions. For the first time in our history, we exceeded CHF 1 billion of sales and generated CHF 1.12 billion of turnover. A great achievement, especially in our anniversary year towards the 50th anniversary of BELIMO. With regards to the regional breakdown, the Americas has now contributed about half of the sales, EMEA 38%, and Asia Pacific 13%. If you have a closer look at the composition of this growth rate, we can see that about the majority of the growth, 19.5% is coming from volume and mix contribution. So between pure volume growth, also a lot of higher-value products like the energy valve or higher-value customer segments like the data center contributed to this strong performance. Then we had about 3.6% growth coming from price increases. That's mainly attributed to the region Americas to the U.S. where we had in-year price increases as compensation measure for the imposed tariffs. We'll come to that later on. And then lastly, the FX had a negative impact of 4.5%, leading then to this growth rate of 18.7% in Swiss francs. A bit a closer look into the various regions. This chart shows the development of our 3 regions. And you can see that all regions contributed with double-digit growth towards the overall achievement of BELIMO. First, with EMEA delivered an outstanding result with 12% growth in local currency or 10% in Swiss francs. And that is despite a very challenging market environment and key markets with a decline in construction spend, like, for example, in Germany. So focusing on retrofit or attractive segments within EMEA made this strong results possible. EMEA also benefited from a revitalizing OEM segment, and that included some restocking and supply chain buildup throughout the supply chain. Then Americas showed the strongest performance with a sales growth of 32% in local currency or 25% in Swiss francs, and that's from an already very strong basis in 2024. In there, data center accounted for about half of the absolute growth we had in the Americas, but it also means that our traditional HVAC business also grew in the high teens and showing that we have got a very broad basis of this growth. That is coming from an increasing traction also of the retrofit business and then also other high-growth verticals like high-end manufacturing in the pharmaceutical or semiconductor business and also a general very strong market environment in the Americas. Asia Pacific slightly had a growth of 29% in local currency or 23% in Swiss francs, and that's despite a very challenging market environment in key markets like China. So there, the clear focus on high-growth verticals made these strong results possible. Also, their data center was an important growth driver, including some export business in the OEM business. On this chart, we can see the development of our business -- of our 3 business lines. All business lines also grew double digit. Damper Actuator, our most traditional business line achieved sales growth of 14% in local currency or 10% in Swiss francs. And in there, the strengthening OEM was a key contributor to this overall very strong performance. Then Control Valves showed the strongest performance with a sales growth of 31% in local currency or 26% in Swiss francs. In there, obviously, the data center business was an important contributor or also the move to higher-end applications like the energy valve. Lastly, Sensors and Meters, our youngest business line showed a growth of 25% in local currency and is developing according to our plan. In '25. Sensors and Meters already contributed with 5% towards the overall sales of BELIMO and it's becoming an important business contributor for our company. This graph shows the contribution of the data center business to the overall sales of BELIMO. The data center business accounted for about 17% of the total sales in 2025 and an increasing share over the 2 half years. In the second half year, the contribution from data center was 18%. Overall, the data center business accounted for slightly less than about half of the total absolute growth we had last year. In there, obviously, the main contributor were the investments into the data center infrastructure and the high share of liquid cooling of these new applications. The high sales growth also translated into a strong EBIT performance and EBIT growth. EBIT grew by 29% to a total of CHF 233 million and that is corresponding to an EBIT margin of 20.8%, 159 basis points up from 2024. This increase was possible despite the negative effects, both from tariffs and negative FX development especially in the second half year. Tariff impact were mitigated twofold. So partly by midyear price increases we had in the Americas. And then also by supply chain flow-through, shifting about 40% of these high tariffs we had as of April -- August 1 into this year by the flow-through of the supply chain. Just if we recap a bit what happened on tariffs until April, we had a normal tariff situation like we had years ago. So we have roughly 4% tariffs for everything we import into the U.S. That was increased then in April for 1 day, to over 30% and then was reduced back to 10% plus the standard tariff. So we had then until August tariffs of about 14%. They were increased then on August 1 to 39%, plus the 4%. So we had 43% tariffs until mid-November when they were reduced back to 15% overall without the normal tariff. So that was a flat rate tariffs of 15% until last weekend and now we have got another tariff regime. So now we have got 15% plus 4%, so roughly 19%. And we will see what the future will bring. Certainly it's not the last time we'll talk about tariffs. In '25, we continued our investments into our growth initiatives. So our R&D investments totaled to CHF 76 million. That's up 3.5% from last year and corresponds to 6.7% of total turnover. Our personnel expenses increased by 11.5% to a total of CHF 295 million. Last year, we increased our workforce by 343 full-time equivalents to a total of 2,704 at the end of the year. The regional breakdown is as follows. So 59% of our workforce works in the EMEA, 26% in the Americas and 15% in Asia Pacific. The breakdown by function is 44% work in assembly and logistics; 30% in sales, marketing and distribution; 11% in research and development; and 14% in administrative and general management. This chart shows the performance of the 2 half years. Sales in local currency accelerated between the 2 half years despite a reverse seasonality due to the short December. This shows the strong momentum we have in our business. Material expenses were significantly higher in the second half year. That was impacted, first of all, by the higher tariff, but also by the FX rates that were mainly hitting in the second half year. The other effects were increasing operational expenses in line with the constant buildup of head count throughout the year. Net income increased by 24% to CHF 182 million, the foreign exchange burdened the P&L with CHF 10.4 million compared to a CHF 600,000 gain in the previous year. The strengthening of the Swiss franc against all currency, especially in the second half year was the main reason. Furthermore, we encountered a slightly higher tax rate based on higher profit outside of Switzerland. Our cash flow performance reflects the strong growth of the company. Operational cash flow amounted to CHF 185 million, absorbing a working capital increase of CHF 67 million associated with the strong growth of our company. Free cash flow, excluding the short-term deposits amounted to CHF 99 million reflecting our capacity expansion program just Lars showed that in his presentation. In the reporting period, we had a CapEx of CHF 87 million, and the main investment was obviously the building in Hinwil and the capacity expansion into the Nexus building. Looking at the balance sheet. The balance sheet is very sound. We have an equity ratio of 71% and the net liquidity of CHF 69 million. We had extremely strong capital returns, return on invested capital of 28%, a return on capital employed of 36% and the return on equity of 30%. Based on this strong performance, the Board of Directors proposing a dividend of CHF 10 per ordinary share. This is up 50 Rappen compared to the last year. This proposal corresponds to a payout ratio of roughly 68% and is sustainable, considering the growth ambition of BELIMO and the elevated investment we will face in the coming years. It's a continuation of our dividend policy of a stable and increasing dividend over year. On this chart, we can see the development of the key performance metrics over the last 5 years. All figures show a very strong development. Sales growth increased to 23% and EBIT margin constantly increased to 20.8% in 2025. Capital returns improved and achieved 27.8% measured as return on invested capital and 30.2% as return on equity. Free cash flow is impacted by the investments in growth, both on the working capital level and also on the investments into capacity. Furthermore, we continued our efforts on sustainability and our ESG performance is well on track. Our SBTi targets were approved, and we are on track with our greenhouse gas reduction path. Our Scope 1 and 2 emissions were reduced by 14% compared to our base year of 2022 and our Scope 3 emission by product solds were also reduced by 14%. And we help our customers reducing their greenhouse gas emission and continue our efforts towards their Scope 1 and 2 reduction emissions. Retrofit, as Lars already mentioned there, and showed some of the example, is a very strong example of this investment and this contribution at our customer sites. Furthermore, we also contribute with our -- with the BELIMO Climate Foundation, decarbonizing buildings of nonprofit organization and with that, compensating part of our greenhouse gas emissions. Our efforts are well recognized, and we are rated AAA by MSCI and ecovadis silver for our efforts. Let me conclude on the last year's business. So overall, 2025 was extremely successful for BELIMO. We implemented our growth strategy that paid off, and we could accelerate our sales growth to 23% in local currency. EBIT Margin expanded by 159 basis points, absorbing the negative impact both from tariffs and the FX effects. Capital returns are very high, and the balance sheet is sound. We offer an attractive dividend of CHF 10 per share to our shareholders, reflecting the investments into the future lows. Let me conclude with the calendar. So the Annual General Meeting will be held on March 23. The ex dividend date is March 25, and the dividend payment is scheduled for March 27. We will issue our half year results on July 20. And as Lars already mentioned, we will host an investor event on September 1 in Hinwil. And there you will have the opportunity to join the inauguration of our new building, and you will also get insights into building tomorrow and our new product family. With this, I will hand over to Sarah for a short introduction of herself and then an update on the Americas business.
Sarah Bencic: Thank you, Markus. So as you may all have seen I joined BELIMO on October 1, and I've spent the past several months working to build a deep understanding of the organization as well as a robust plan to ensure a smooth transition with support from my predecessor, Jim Furlong; as well as the broader Americas team. And so I'm excited to formally step into my role as Head of BELIMO Americas as well as a member of the Executive Committee next week, taking on leadership of a healthy growing regional business that continues to benefit from the consistent execution of an effective multiyear growth strategy. My experience in several large global manufacturing organization spans leadership roles across multiple functions and industries, including 5 years in the HVAC building automation industry with Honeywell. And I'm looking forward to leveraging the expertise I've gained through these experiences to continue moving our strategic growth plan forward in the Americas and optimizing for growth as we continue to build scale. Similar to the global sales trajectory that Lars walked through, growth in the Americas has accelerated over the past 10 years. During that period, we experienced a 12.7%percent sales CAGR in local currency, but the acceleration grew from 6.2% CAGR in local currency over the first 5 years to 16.6% over the prior 4 years and increasingly to nearly 32% of growth in local currency year-on-year last year. The majority of our growth last year came from our core HVAC verticals, and this growth stemmed from a few different areas, increased momentum in our RetroFIT+ program, the strength of our customer support and training offerings and increased adoption of higher-value solutions as well as our Sensors and Meters business line. The remainder of our growth came from the data center vertical, which was driven both by rapidly increasing capacity and the shift to liquid cooling. And both of these increases were amplified by the approach that we've been taking to owner engagement that I'll walk through in a little bit more detail. As Markus outlined, an additional event which impacted our Americas business was the imposition of increased U.S. tariffs on imported components. And that tariff rate was changed by the U.S. government several times throughout the year, making it extremely difficult to predict the longer-term landing point, still making it challenging to predict that. However, despite the volatility of these changes, we used a more measured approach in our response. Taking a planful, single midyear price increase that was communicated to customers well in advance. And our customers appreciate us taking such a measured and planful response, which allowed us to preserve customer loyalty while still securing price growth to mitigate our tariff exposure. The growth drivers for 2025 are underscored by our general competitive advantages that we lever across the regions, including here within the Americas. We've built trust with our customers through our focus on quality and our reliable short lead times. We are viewed as experts in our market due to our global leadership position and our pure-play focus on field devices. And serving in this role as a trusted expert allows us to build and maintain the long-standing customer relationships that support sustainable growth. What's more is that we're able to leverage these competitive advantages across all of the 30 verticals that we serve. With these verticals spanning public access buildings, like education and health care, production buildings, including high purity manufacturing and data centers, infrastructure buildings, including warehousing and residential buildings, including high-rise residential as well as a variety of verticals that don't fit cleanly into any of these one specific categories. And this breadth of verticals really provides us a wide range of growth opportunities. Returning to our 2025 growth specifically, increased solution adoption and the strength of our customer value offerings played key roles across all of our core HVAC verticals. On the solutions side, our growth was a result of multiyear awareness efforts to drive adoption of more advanced technologies and our full portfolio breadth. Our energy valve is a fantastic example of one of our more advanced and higher-value solutions. And while we did see growth of the energy valve stemming from the data center vertical, we also saw increased energy valve sales coming across our core HVAC markets through our retrofit opportunities. From a breadth of portfolio perspective, we saw increased adoption of our Sensors and Meters business line, resulting from strong multiyear cross-selling efforts. We also kept a strong focus on maintaining a differentiated customer experience. Some examples of this include increasing the team by 20% year-on-year to over 720 FTEs to maintain short lead times and high customer engagement levels while accommodating our growth. In addition, we delivered over 50% more in-person training courses year-over-year to advance customer understanding, build brand and product familiarity and help our customers address the trade skills talent scarcity. As mentioned previously, RetroFIT+ also gained momentum globally and as well as here in Americas across the core verticals. We saw a 30% year-over-year increase in the number of converted projects in the region. One great example of the power of this program is the work that we've done with the Paramount Group. Paramount completed RetroFIT+ buildings and 3 RetroFIT+ projects in 3 key buildings in New York City to start preparing for upcoming local energy reduction regulations. These projects reduced energy consumption across these buildings by over 4 million-kilowatt hours annually, which translated to over USD 1 million of energy cost savings annually. In addition, these projects enabled Paramount leveraging substantial rebates from their local utility to help fund the investment in these projects. And what we're seeing as we get further from some of these initial project completions is it's opening up 2 sets of future opportunities for RetroFIT+. The first is the opportunity to complete additional RetroFIT+ projects in additional buildings at that same portfolio management group owns. And the second is that as the stakeholders that were a part of this powerful project advance their careers and move into new property management groups, they can choose to implement RetroFIT+ projects in these new organizations and creates new opportunities there as well. Within the data center vertical, our owner engagement approach has been key to our growth. The number of stakeholders and the interactions between stakeholders in the data center space is a bit complex. Data center owners and technology providers collect inputs from research organizations and mechanical and electrical consultants. And these data center owners and technology providers or hyperscalers and chip providers then influence and transact with general contracts -- general contractors who influence and transact with mechanical contractors, who influence and transact with a variety of stakeholders shown here in the dark teal that we, as BELIMO transact with directly. Over 5 years ago, we established a dedicated data center organization whose exclusive focus is to engage with these key stakeholders that ultimately influence the entire purchasing process. This team partners directly with data center owners and technology providers to inform decisions on specifications. And in addition, they participate in key research organizations to ensure that we collect insights into future application needs in this rapidly developing industry. This long-term dedicated focus on these key decision-makers has been a critical enabler for our strong adoption of BELIMO solutions and data center applications. As we shift the lens from the retrospective of 2025 to the outlook of 2026 for Americas, the focus does not change. We will continue to execute on our growth strategy. We expect continued double-digit local currency growth in 2026, and our drivers to achieve this growth remain the same. Increased adoption of higher-value solutions and strong customer value offerings like RetroFIT+ in our core HVAC verticals as well as continued capacity growth and deployment of liquid cooling in data centers. We'll need to ensure that we remain focused on maintaining operational excellence and a differentiated customer experience as we continue to scale. So we'll be making strategic investments in both capacity expansion as well as people. We've signed leases for new buildings in Sparks, Nevada as well as Stratford, Connecticut that will nearly triple our operational footprint in the U.S. from a square meters perspective. And we will -- we are planning to increase the team size by 16% to about 840 FTEs to ensure we can maintain short delivery lead times and continue to offer a differentiated customer experience. And with that, I will hand it back to Markus to share our global outlook for next year.
Markus Schürch: Okay. Thanks a lot, Sarah. Let me conclude with the overall outlook for BELIMO for next year. So overall, we expect the continuation of the market environment and the positive momentum for BELIMO both in the general HVAC industry, but also specifically in the data center vertical. We expect the strong top line performance with sales growth in the mid-teens. That takes into account the favorable market environment and the strong basis of 2025. Regarding margins, our EBIT margins will remain strong and are expected to be ahead of 20%. Obviously, there are very significant risks and uncertainty. Above all, obviously, the unforeseeable tariffs going forward and also the foreign exchange volatility that can impact both top and bottom line of BELIMO. Our data center business is linked to the investments of -- into data center and the respective CapEx mainly of the hyperscaler. This has both elements, a downside element in case of a slowdown of investment but also an upside element in case of accelerated investment or especially also faster deployments of the infrastructure. Independent of the short-term development of the market, we will continue our investments into our growth strategy. So we'll continue our investments into capacity and also continue our CapEx program and likewise, we'll also build up and increase our investments into our growth initiatives going forward. With this, I conclude the presentation and hand back and open the floor for questions, and we'll hand back to Stephan for the moderation of the question-and-answer session.
Stephan Gick: Thank you, Lars, Markus and Sarah for the presentation. Now it's time for Q&A. [Operator Instructions] We will now start with questions in the room. Please first introduce yourself and the institute you're representing.
Patrick Laager: Patrick, Berenberg. Three questions. You said you're guiding for 9% to 11% sales growth for the midterm or long term. Now assuming 8% to 9%, but please correct me growth in building applications and your exposure for data center to increase from 17% to, let's say, I don't know, 30% in the next 3 years, 4 years and assuming a normalization of growth in data center, I get -- and this is a very reasonable number, I get 15% growth on average. And you still stick to your 9% to 11% growth? Do you have any indications that potentially growth will slow down significantly in the next 2, 3 years? This would be my first question.
Markus Schürch: Yes. For sure. Thank you for the question. It actually -- if you look at the overall model now looking at 10 years, we stay with this 9% to 11% because you have, of course, an acceleration in growth over the next years, but maybe '26, '27, '28, but then, of course, these investments could also decrease then again from this very high level that we are today. We have also to remember that these are extremely high levels that we have today in this investment boom. And therefore, there will be decrease, of course, at one point of that portion of the DC business, that impacts then the number. Therefore, if you look at it, we remodeled this, then it comes down again to between 9% and 11% eventually.
Patrick Laager: And then question 2 and 3 combined here. Can you provide any insights about the pricing dynamic. If I remember well, you increased prices by 8% in North America or in the U.S. and you were planning to increase prices by 8% again early this year. The question here is, did you increase prices last month in the U.S.? And what kind of price effect should we model overall for '26? This would be one question. And the last question is about U.S. tariff exposure. You said -- you explained actually in a very detailed way how tariffs have developed last year. Can you share how much was the average of your U.S. tariff exposure last year? And how much would -- you can't really expect this year, but the average for '25 would be very helpful here.
Markus Schürch: Okay. So thanks for the questions. So I mean you summarized well, our pricing actions in the Americas. So we increased about 8% midyear. And that they become effective throughout the year. That was the most of this 3.5% price increase what we saw as the contribution on the overall sales. We've increased list price again by about 8% as of January 1, and they will also now gradually be implemented as there. We have got standing orders that are still conducted according to the old prices. And gradually, we'll see now these price increases. Now with regards to the impact of tariffs. So for this year, obviously, it will be in the range of 15% and 19%. So depending on what's going to happen or something completely different in 150 days from now. And then with respect to the last year, so the average number is also in this -- towards this amount as there were a season of 4% and then a season of higher of about 10%, 14% tariffs short period of very high tariffs and then going back to 15%.
Tobias Fahrenholz: Tobias Fahrenholz from ODDO BHF. Staying with growth and the sales outlook, how dynamic was your start into the year, so Jan, Feb so far? And what is the rough percentage that you have put in for the data center business? That would be the first part. And the second part then maybe on M&A. Has this become more in focus now? I mean the dividend is only slightly up. Should we read something into it? And which target areas would you look for?
Markus Schürch: Okay. So let me start with the business. I mean, we don't obviously share all details, but we had a very good start into the year. And that is also the basis though, is we don't see a change of the market dynamics. Obviously, we don't disclose the details of how the composition of the sales is. That is then information we'll share again with the half year results. Then with regards to M&A, it's an opportunistic topic. We are actively looking into it. And it's always an opportunity. We will see some bolt-on acquisition, especially on the technology side. There's obviously nothing to read in from a dividend policy. This roughly 70% payout ratio that is in line with the investments that we need to do. And we want to finance that based on the operational cash flow, both the working capital and also the capacity increase.
Martin Flueckiger: Yes. Martin Flueckiger from Kepler Cheuvreux. I've got 3 questions, and I'll take one at a time. First one is on your elaborations markets regarding product mix. Now I understand the impact was there on the top line growth, but just wondering whether you could clarify or elaborate a little bit on the impact on the EBIT margin in 2025 and what kind of impact or contribution you're expecting for margins in 2026?
Markus Schürch: I mean, as mentioned, we have got there a positive contribution from the higher-end application and that also has a positive effect on the EBIT margin and was obviously part of the higher margin that is coming also from higher-end applications.
Martin Flueckiger: I understand, but could you give us a little bit of a flavor of how much that was quantitatively?
Markus Schürch: No, we don't disclose the details of the buildup of the margin.
Martin Flueckiger: Okay. And then the next one is on the tariffs for this year. I realize you were talking about 15% to 19% for BELIMO, but again, in terms of margin or in terms of EBIT impact, what kind of number should we plug into our EBIT models here -- EBIT bridge models? And what kind of -- that 8% you were referring to in terms of pricing, that's for the Americas only, right?
Markus Schürch: Yes. And that's for the Americas.
Martin Flueckiger: Right. Okay. So just the guidance on the tariffs for 2026 in terms of margin or EBIT.
Markus Schürch: Well, I mean, you can assume that this price increase is compensating the effects of the tariffs that will bring us back to a plain level that we had at the beginning of last year.
Martin Flueckiger: Okay. And so are you striving for compensation in terms of absolute Swiss franc numbers or in terms of margin?
Markus Schürch: In terms of margin.
Martin Flueckiger: Okay. And then my final question is on CapEx and net working capital. I realize both have been up as a result of your growth initiatives. Just wondering, in 2026, what should we expect or plug into our models for this year in terms of CapEx? And also, what are you going to do with network capital?
Markus Schürch: I mean regarding net working capital, the assumption is that it will remain stable as a percentage of sales. So we'll increase that gradually both on the inventory and also especially on the accounts receivable side. And with regards to CapEx, we expect a similar number like last year, so an elevated CapEx also for 2026.
Martin Huesler: Martin Hüsler, Zürcher Kantonalbank. I have a question on retrofit. Obviously, the economy is quite convincing. First question, what share in terms of sales is now retrofit? And do you see the same good dynamic in Europe as in the U.S.A? And generally, do you get now much more projects because you can prove and you have now the visibility that how much, I mean, payback of 6 months, that's amazing. This should result in a high demand, I expect. What do you see there in your -- maybe your project pipeline?
Lars van der Haegen: Well, thanks for the question. I mean in general, retrofit new building business represents about 40% to 50% of our sales and retrofit about the rest. And this should accelerate overall. Of course, there are some studies, for instance, in the European Union that says it should be threefold the retrofit rate in order to achieve the climate objectives. And this should accelerate in general. What we do with our initiatives, we call it also business development. It really helps to sell retrofit opportunities for our customers. We are out there supporting our customers to sell these opportunities because it's, of course, also capacity problem in the market, right, because we have still lack of skilled labor. And if this labor is occupied with new buildings, then they do not have time to do the existing buildings and doing the sales in existing buildings. So there's a big potential to increase the sales in retrofit in existing buildings. That's why we have these examples. So we do that. It's actually, I would say, hard work. This is not just a market that grows even though, of course, the financials are so convinced. It's literally 1 to 2 years max payback on most of these opportunities. So everybody, all building owners, most building owners should invest in these opportunities. But we have to promote it, and that's why we have this initiative. Could I answer your question?
Martin Huesler: Maybe another question on data center again. You were alluding to, I think, CHF 40 million to CHF 60 million per gigawatt. And I think we already talked about this with the sales numbers. But where do you stand -- stood in '25? And maybe also, what was the share of liquid cooling more or less in '25 and where can you grow to for you in the next couple of years?
Lars van der Haegen: Yes. Maybe in share of liquid cooling, there is still -- every data center today, there's always a part air cooled and a part liquid cooled. So still, if you do liquid cooling, you have about 80% of the heat rejected. If you do with liquid cooling, about 20% is air. And because there's not everything can be captured with the liquid cooling. So this is -- the technology will increase this, but we can bring it to 90%, 95% liquid cooling, but there's still a rest that has to be air cooled. The air-cooled portion is also growing that what we see in the numbers with our Damper Actuators growth in data centers actually growing also still significantly and the air cooled comes in addition. So this has, in many areas, only started with water cool systems, liquid cool systems. So there's still a big potential there with this shift. So newly planned buildings, of course, tend to be planned liquid cooled. I would say about 60%, 70%, but there's still -- a lot of those are air cooled because, for instance, colocation, data centers and so there's high flexibility required, they still work with traditional systems as well depending also on the application, right? Then there is also a retrofitting activity there, data centers that have been built or that are in -- that have been planned so far that they are converted to liquid cooling. So that's also an aspect. So that it's kind of the low-hanging fruit in increasing the capacity for this liquid cooling applications. But there's still a lot of potential in that area for growth.
Unknown Analyst: [indiscernible]. Can you disclose how much you will spend for your capital -- for your expansion plans in the U.S. and for the group totally?
Markus Schürch: I mean in the U.S., it's a twofold capacity expansion program, as Sarah mentioned. So we have leased 2 buildings. So that's for the short-term planning. And then we will also build on a new building for the longer term in the U.S., but that's down the road a couple of years' time. So at the moment, we mainly have investments into the fit-out part. So that's a fraction of the overall CapEx that we now have with our own building in Switzerland. But over the medium term, we'll then also invest into an own building in the U.S.
Unknown Analyst: [indiscernible]. I have 2 questions. With regard to your CapEx plans for the U.S. If I'm correct, it's mainly on warehousing. So it's on logistics. Do you plan to also have a local production there? And then with regard to your CapEx plans, you said next year, in absolute numbers, it will be roughly at the same level as '25. When will your current CapEx cycle be completed?
Markus Schürch: Okay. So thanks for the question. So looking at the investments into the U.S. is not pure logistics. So it's customizing and logistics. So that's the finalization of the products. And that's not -- that has also an assembly part of it. So just making the last step of the customization of the product. We already do an assembly part in the U.S. About 30% of the assembly work for the U.S. business is done in the U.S., and that will gradually increase also in the future and that's part of the capacity expansion programs in the U.S. So short term, really focusing on customers and logistics, medium-term also shift more local manufacturing or assembly as we do mostly an assembly part in our own building. Now if you look...
Unknown Analyst: Sorry to interrupt. Do you have a target for local assembly in the U.S.? So when you have 30% today, are you going to double that?
Markus Schürch: I mean it's clear we also follow their strategy of a local production for the local market. And that has 2 aspects. So first of all, shifting our own work into the U.S. to have also a balancing effect both from a natural hedging perspective, but also from a supply chain security. And medium term also have more local supply base to have also there more stability and more resilience in the supply chain. Obviously, that's a multiyear project. But given the sales growth we have now in the U.S., that's clear the plan going forward. And coming to your second question. So the investment plan, what we have so building on the capacity expansion, that's a multiyear program and it will last for probably the next 3 to 5 years.
Stephan Gick: Great. If there are no further questions in the room, we now move to questions via phone. Operator, please go ahead.
Operator: First question on the phone is from [indiscernible].
Unknown Analyst: Can you hear me?
Markus Schürch: Yes.
Unknown Analyst: Okay. [indiscernible] from Baader Europe. Just a question on the data center, please. I understand that you emphasized a lot on this because it's a very big market and a growing market. So I was just wondering about the competition how you feel about the competition? Is it rising or not? And will it be enough stake, I mean, for everyone as well. Yes. If you can elaborate a bit more on this, please. And of course, you can give us some number on the addressable market as well it would be good. And the other question was on working capital. I understand that the growing business will, of course, require more and more working capital, but I was just wondering if there are any programs that are planned in terms of digitalization or AI-driven working capital management in order to gain efficiency. If you can help us on that as well, it would be helpful.
Lars van der Haegen: Do you want to answer maybe the second one, Markus. The first one wasn't so clear. Maybe it was something regarding competition, but maybe you can repeat it afterwards. Let's answer first the second one, right?
Markus Schürch: Yes. Let's go into details of the working capital management. So we assume about 15% of sales in inventory is our key advantage what we have. Lars mentioned and Sarah mentioned, one of our key advantage against the competitor is the very short lead time we can offer and that obviously requires a decent level of stock. Therefore, our goal is to have about 15% of sales on inventory. At the moment, we're slightly ahead of that. That is in line with, obviously, with the strong growth that we had and also the planned changeover of the products towards the new generation. So that will remain a higher level of inventory over the next 2 to 3 years and then the plan is going back to 15%. But we will never have a very small working capital level as this is a key competitive advantage, and we will maintain that.
Stephan Gick: I think the first question has been about competitive situation in data centers, right, and whether there could be potential new entrants coming into it. And I think also here, I mean, Sarah already gave the answer with our strong competitive advantage generally, which are also valid for data centers, right? And obviously, we also do joint R&D together with chip manufacturers, but also with data centers, for instance, in cybersecurity. And keep also in mind, I mean, this is a highly innovative area, data centers, right? So here, you need to work together with the technology leader. And I think so these prospects also in this area are really good for us also midterm.
Lars van der Haegen: And maybe also to mention that, now of course, as this is booming, so many companies would like to jump on this bandwagon. But it's not so easy to join a boom during the boom. And we have been in this industry since 2 decades that we have supplied Damper Actuators into data centers to these hyperscalers. And so our brand is really well established in this market. And then as Sarah has demonstrated, so we now make sure that we continue to provide very best service to this industry to remain the leader and to expand actually our position that we have also with the economies of scale and then also with our global footprint and a very agile organizations that we are that we can leverage to supply these data centers. As also Sarah has shown, it's sometimes quite complicated each data center project because the supply chain is -- comes from all over the world into one location. And this needs also a lot of agility by supplier by us to provide all these services during this fulfillment phase of delivering components into the final destination.
Stephan Gick: Next question, please?
Operator: Next question is from Chase Coughlan from Van Lanschot Kempen.
Chase Coughlan: I just have 2. Maybe starting off and going back to the data center dynamics. Just based on your '26 guidance and if we assume a bit the rest of the business continues sort of growing at the same rate, it really implies the massive drop off in the growth momentum seen in that data center portion of your business. So I'm just curious if you can help me reconcile what you're expecting there. If I'm reading that right. I think most other players exposed to the same vertical are suggesting that they're seeing accelerating growth there. Sort of any more color on that data center growth expectations would be very helpful.
Markus Schürch: Well, let me take this one. So I mean, we -- as I mentioned, we expect a base growth in our HVAC business and then a special growth on data center. As you mentioned there, it depends a bit on what is the investment, but especially also what is then the actual fulfillment of the project. Those are large infrastructure projects. And increasingly demanding becomes the supply of energy of electricity as they are consuming big time electricity. And that is starting to also impact the deployment rate. So it's not only a question of the investment that goes in, but also a question of how quickly this can be executed. And therefore, there's a high upside potential also if that's going to be accelerated on the deployment case and then obviously also there, a higher growth rate is possible on the data center side.
Chase Coughlan: Okay. Perfect. Yes. That makes sense. And then maybe my second question, regarding the top line guidance. Do you have any kind of specific expectations around the phasing of that growth in the first half versus second half? Should it decelerate or accelerate throughout the year? Or should we expect somewhat stable?
Markus Schürch: We don't expect the changing behavior of the dynamics, and therefore, no specific seasonality of the 2 half years.
Stephan Gick: The next question, please.
Operator: Next question is from Sebastian Vogel from UBS.
Sebastian Vogel: I've got 3 questions. I ask them one by one. The first one is a quick follow-up. So to the guidance for '26, does that sort of mean your underlying growth for the non-DC business is supposed to be around like 9% to 10%, and then you have the remaining 40% to 45% for data center. Is that the right thinking?
Markus Schürch: Well, that's about the right thinking exactly.
Sebastian Vogel: Great. Second thing is on pricing. I mean, you elaborated a couple of times there. But nonetheless, sort of a group-wide number. If you can help us there, what sort of the net pricing you think will be feasible for you for 2026, adding up or aggregating across all regions? Is there a number that you can share with us?
Markus Schürch: Look, we just can give you the general price increases. So we have got -- we've mentioned is 8% in the U.S. The U.S. is roughly 40% of the overall business. So that translates then to something like 3%, 3.5% overall. And then we have the normal price increase in the other region, which is in the range of 1% to 2%.
Sebastian Vogel: Got it. And then the last question is with regard to the margin and the FX impact for 2026. Do you have some sort of like number on hand like a 10% change in U.S. dollar is having whatever basis points impact on your margins that you can share there?
Markus Schürch: Yes. We can share roughly 10% weakening of the dollar has an impact of about 150 basis points on the margin. That is always assuming that all the other currencies stay stable. And then there's also an important development, how is the euro developing as a lot of the material cost is denominated in euro. So if there's also then a shift and a weakening of the euro in parallel of the dollar, there's also an offsetting effect in there. So it's a maximum effect of about 115 basis points of 10% weakening of the dollar.
Stephan Gick: Next question, please.
Operator: Next question is from [indiscernible] with [indiscernible] Intelligence.
Unknown Analyst: I just have 1 on depreciation. Can you please help us explain what depreciation assumption you are modeling for your 2026 EBIT margin guidance? Is it reasonable to expect that we can see a step-up in depreciation and amortization expenditure as they follow the CapEx trajectory?
Markus Schürch: Well, you're correct. Gradually, the depreciation rate will go up with the strong investments. But bear in mind, we are investing into building with a very long depreciation time as well. Therefore, the effect is somewhat lower than from what you would expect from the higher investments on CapEx side. We don't share an exact number for '26.
Stephan Gick: Okay. Next question, please.
Operator: The next question is from Fabian Piasta from Jefferies.
Fabian Piasta: Can you hear me alright?
Stephan Gick: Yes. Loud and clear.
Fabian Piasta: Great. Okay. So you were elaborating on medium-term horizon or outlook. I understand that is 9% to 11% sales growth and between 30 and 35 bps on margin. Would you be able to define the time horizon for that medium-term growth? Are we looking at 5 years? Are we looking at 10 years? Second question would be on EBIT margin 2026. So in order to get to where consensus is, let's say, 21.5%, that would require 85 basis points year-over-year from the current margin. This looks actually durable. And obviously, markets didn't really like the cautious EBIT guidance. So where do you think are the biggest headwinds apart from tariffs and FX? And the last question maybe on the dynamic and change in data center projects. So what has really changed? I mean I remember first half of 2025 was still very air heavy. I think there's probably going to be some acceleration in liquid cooling in the second half. Do you see a major shift in, let's say, maybe from brownfield to greenfield in 2026 supporting further growth in data centers?
Lars van der Haegen: In the first question maybe regarding the horizon there that's really related to our long-term strategy. That's about a 10-year horizon where we are planning our growth rates and development also of our profitability. And this is very important because when we develop new products, new applications, you have an R&D cycle and the product introduction cycle. And that, in total, takes about 7 years to become profitable right, from an idea to profitability can also be longer. And so building up a market, a new product range and on takes a decade or more. That's why we need this long-term strategy and also why we communicate that this is our ambition to have that growth level. And then the second question was then back to '26 that I give back to Markus.
Markus Schürch: We look on the margin, we guided on this ahead of 20%. And as you mentioned, I think the uncertainty is extremely high this year. I mean, you've seen the tariff situation can change basically overnight. And most likely, we'll see other tariff regimes in the course of this year. Then also the impact of the FX, that's also very, very broad. The forecast where the dollar is at the end of the year are very widespread. So that's obviously also a very strong impact on top and bottom line. And the third key element is obviously the sales growth of this year. So the higher the sales growth, also the higher the operational leverage, and that also has then an effect on the EBIT margin. So overall, a very high uncertainty. And therefore, also, we are only guiding on this 20% plus.
Stephan Gick: I think you had a third question on data center trends, right?
Fabian Piasta: Whether you see a shift in projects.
Lars van der Haegen: I mean, on data centers, there's, of course, a lot of information around. And I think obviously, there's a lot of investments that have been announced by the hyperscalers that you are likely aware of and that's very transparent that communication to some degree. And then it's also, of course, the colocators that are investing. And then there's also corporate data centers. There's all the hyperscalers, corporate data centers, corporate or government and then you have the colocators. So this is, of course, also if you go into the details, a market of many players. And so many investments are happening. So this -- last year, I think the overall investment was depending on the sources CHF 400 million to CHF 500 billion worldwide, predominantly in the U.S., about CHF 300 billion, some sources go with higher numbers. And then this year, '26, this would higher and then '27 even higher. But then again, Markus pointed out there are many constraining factors to this. Of course, the energy but also the supply chain overall, there are some components from some manufacturers that have lead times until 2030, transformers and things like this. And so that will be -- we'll find out what can be really then applied of all these investments and what the time horizon, how this will play out over the next years.
Stephan Gick: Okay. Thank you. Then I think we have one final question online. Cedar.
Cedar Ekblom: I have 2 questions. Can you please talk about what you're seeing from a replacement demand perspective in the U.S. in the data center vertical? I know it might be a bit early but this has been discussed as a potential growth kicker going forward. So it would be helpful to hear what you're hearing from your data center customers. And then can you talk a little bit more about your new digital generation of products. You made quite a big point of this in the presentation. So I'd like to understand what's integrated sensors into the digital offering means, how it's helpful to your customer? And then I think you also made the point that your competitors don't do this or that you are on the only player that's sort of providing this sort of harmonized digital platform. And why are your competitors not doing this? What is the barrier to them closing the gap to you? Because it does sound quite material in terms of ease of use and deployment.
Lars van der Haegen: Great. These are excellent questions. So on the last one, I could talk for another 2 hours. But maybe the first one regarding data center retrofit. So there is overall with the overall increasing in the efficiency of the overall server applications from the chipset to the overall server application. Mostly, we hear there is an economic life of about 5 years of a server. And then afterwards, it makes sense to replace it simply because of the financials. They would still run longer, depending on what application it is exactly, they might still do 7 years, 8 years, 9 years. But after 5 years, mostly, it makes sense to replace them partially. That doesn't mean that the valves are necessarily replaced or the building -- the HVAC part of the system, but it could be but that's typically the situation. Then regarding the new digital generation. I mean the features overall, it's just why competitors don't do it. It's a big investment. We are the largest -- I mean, second -- or the largest competitor, I have to say, is about half the size of BELIMO in terms of sales with the same field devices and it's probably not profitable to invest in such a platform. And managing a platform is, of course, challenging, but we have decided that part of this long-term growth strategy investing also in Damper Actuators and Control Valves, that's our existing business, investing a lot in there so that we really have a new platform that gives us this, of course, cost advantages as well. But also the flexibility to build products in the future, different products to adapt to the demands from the market. And then this overall user experience. So often when you look at competitors and their product catalogs, it's kind of a mess. It's like very -- just different products. They've sourced them from different -- just not a consistent range. And at BELIMO, we have really consistent range -- consistent look and feel and that makes it unique. And I think it's very powerful, having a platform, looking also at other successful companies. I mean, talking about these hyperscalers, they are typically successful because they manage a platform and can leverage the platform. Could I answer your questions? Otherwise, I recommend also...
Cedar Ekblom: Yes. That was helpful. That's good. I just wanted to follow up quickly on the replacement point. Have you heard yet from your hyperscaler customers that they would be reusing the valves? Or is it a case of it would just be simpler to replace the valve at the same time as replacing the servers and the chips? Because I think this is an important point. We know that the service might once be replaced from a sort of economic perspective. But would it be simple to just to reuse the valves? Or do you not have color on that yet, maybe? Is it too early in the process? I understand that.
Lars van der Haegen: Yes, thanks. It's a good question. It depends always, it's, of course, also when you go into details of the application, it gets complicated like everywhere. And it depends if you have, for instance, a server that's like 500 kilowatts that it requires for cooling. And then the new server is also 500 kilowatts, then you could replace that without replacing the valve. But if you have then a server that has a higher capacity than you would also require -- need to replace the valve. Then also, it depends on the overall setup. Sometimes it's just more efficient to replace everything, make everything new. And sometimes it's just easier to just replace the server setup. So it really depends on the technology that's there, but also on the preferences of the investors, the engineers what they are doing. But in general, we can say it's certainly a more retrofit intense this market segment of the data centers versus Sarah presented the 30 segments. Typically, our products, they last for more than 20 years. So they are in these buildings for 20, 30 years. And here we have, of course, a much higher rate of retrofit. They're also controlled these applications in a sense, so they are monitored and so for the uptime and the reliability of the application. So it's a more critical application than in some of the other segments. Some other segments, of course, also critical thinking about pharma, semiconductors and so on. But here, we have definitely a higher retrofit rate.
Stephan Gick: Great. Then thank you, everybody. This concludes today's presentation. You are now more than welcome to join us for lunch. Thank you for your attention today, and goodbye.
Lars van der Haegen: Thank you all.